Operator: Welcome everyone to Barrick's Fourth Quarter 2025 Results Presentation. At this time, all participants are in listen-only mode. As a reminder, this event is being recorded, and a replay will be available on Barrick's website later today. We will now turn the call over to Cleve Rickert, head of investor relations. Please go ahead.
Cleve Rickert: Thank you, Mariana, and good morning, everyone. We hope you have had an opportunity to review the press release we issued before the markets opened this morning. This presentation deck is also now available to download on our website. Presenting our results today are Mark Hill, Barrick's president and CEO, and Graham Shuttleworth, senior EVP and CFO. Other members of Barrick's management team will be available after our prepared remarks for Q&A. Before we begin, please note that we will be making forward-looking statements. This slide includes a summary of the significant risks and factors that could affect Barrick's future performance and our ability to deliver on these forward-looking statements. This material is also available on our website. I will now hand it over to Mark.
Mark Hill: Okay. Thanks, Cleve, and thanks, everyone, for joining us for this call this morning. Barrick finished the year in very good condition. We delivered on our 2025 operating plan, and this resulted in multiple financial records. We also completed the operational review we discussed last quarter and have taken a number of actions, which I will touch on later. We achieved a resolution to the dispute in Mali, securing the release of our detained colleagues and resuming control of the asset. Record free cash flow allowed us to repurchase $1.5 billion of our shares as well as increasing our dividend. Turning to our performance in Q4, we built on last quarter's momentum and posted strong financial results. As I said, we logged several company records, including adjusted earnings per share, cash flow, and, importantly, shareholder returns. Production increased from last quarter to the highest level of the year, resulting in an 82% increase in EBITDA versus last year. We increased our base dividend by another 40% and adopted a new dividend policy. Cash flow for the quarter was up 96% from last year, and we logged a year of record annual cash returns to our shareholders. Fourmile continues to grow, and we are excited about advancing this 100% owned gold asset. Finally, consistent with the announcement we made in December, and following rigorous analysis, the Board has decided to move forward with preparations for an initial public offering of Barrick's North American gold assets, aimed at maximizing shareholder value. We are targeting to complete the IPO by late 2026 and will keep you updated on progress throughout the year. Returning to Sapient Health, our operational and financial achievements were overshadowed on Fort Huge last year with four fatalities. Last quarter, I made that commitment to making sure safety was our top priority, and this continues to be the company's number one focus for 2026. Clearly, there is more to be done because Q4 was not where we needed it to be. But our highest priority is that all our people go home safe and healthy at the end of each day. I will continue to work with myself and the Exco team to achieve and maintain that goal going forward. Moving on to the operational highlights, operationally, our business performed well in Q4, and importantly, we delivered on our guidance to steadily lift production throughout the year. Gold production was 5% higher, driven by a 25% increase at Carlin, and quarter-on-quarter increases across the NDM site. Our processing facilities ran well, and PV throughput rose to another record high. Full-year gold production of 3,260,000 ounces was in line with our guidance. Copper production increased 13% from Q3, driven by higher throughput at Balwana. Also, as I said before, we completed the operational review we discussed in the last quarter. Some important outcomes of that: we have now restructured our business units, putting PV in the North America region, which places all our key autoclave processing facilities under common leadership so that we can share best practices. Jim Cribb, previously overseeing Reco Dick, has moved to take over North America. Operational ownership, particularly in Nevada, is back in the hands of the operator. The mine plans have been reviewed from the bottom up, and we are entering 2026 with high confidence in our guidance. I will touch on this work a bit later, but now let me turn it over to Graham to discuss the financial pilot. Thanks, Graham.
Graham Shuttleworth: Thank you, Mark. As most of you will know, this is my last earnings call, and I must say it is a real pleasure to finish on such a high note. Quarter four was a record quarter across almost every financial metric. The combination of our sequential increase in production and record high gold prices added to our strong financial foundation and sets us up with a lot of flexibility going forward to continue delivering significant cash returns to shareholders. Shown here on the right, revenues increased 45% from quarter three, driven by increased production and sales and a 21% increase in our realized gold price. Net earnings nearly doubled from the prior quarter, and we reported record quarterly cash flow, free cash flow, earnings per share, and a record cash balance. For the year, we reported $7.7 billion of cash flow from operations and $3.9 billion of free cash flow, up 194% from a year ago. Another company record. When you consider our gold sales volume declined 13% in 2025, with one of our key assets not operating for most of the year, those results are even more impressive. We are excited about the year ahead. Attributable CapEx ended 2025 below the low end of our guidance as our engineering partners came on board and we refined our spending schedules, particularly at our biggest projects at Recordedick and Lemwana. The graphs on the right-hand side of this slide highlight Barrick's financial value position. Our attributable EBITDA increased 53% versus the prior quarter on higher margins. As the 21% increase in the gold price dropped to the bottom line. Importantly, we steadily increased our attributable EBITDA margin through the year, tracking the gold price higher and demonstrating the operating leverage our business provides to the gold price. All of this enabled the highest annual shareholder returns in Barrick's history, with more to come. We ended the year with a net cash position of $2 billion. Building on the capital allocation framework we highlighted last quarter, Barrick's balance sheet is in phenomenally good shape, and our future capital investment programs are well funded. Suffice to say, Barrick is generating significant excess cash flow in the present environment. As I mentioned earlier, we generated $7.7 billion in operating cash flow, of which we reinvested $3 billion back into the business and bought back $1.5 billion of our stock, reducing our share count by 3%. You will recall that with our Q3 results, we increased the base dividend by 25% to 12.5¢ per quarter. But on the back of the strong annual results, the board has authorized a further 40% increase to 17.5¢ per quarter. In addition, the board has determined that it will target to pay out 50% of attributable free cash flow, incorporating a further discretionary component to reach the target. On this basis, the board has authorized a Q4 dividend payable in March of 42¢ per share, which is a 140% increase on the quarter three dividend. This new policy will replace the previous performance dividend policy, and at the same time, given the focus on cash returns to shareholders through increased dividends, the Board has determined not to renew the annual share buyback program. I will now turn the call back over to Mark.
Mark Hill: Okay. Thanks, Graham. So turning back to our operation and looking first at North America, where we had strong performance. Gold production increased 11% from last quarter, driven by a 25% quarter-on-quarter increase at Carlin. Phoenix production hit its guidance range for the year, while Cortez and Turquoise Ridge achieved the top end of their ranges. Importantly, we did not high-grade the operation at the end of the year. We rather maintained focus on consistent, disciplined delivery and compliance with our plan. As a result, we are seeing a smoother transition from December into January. This has helped to achieve one of the best starts since the EAS and P NGM joint venture was established. The Carlin roaster had its highest January throughput in the last five years. In fact, the new management team and the focus on operational discipline, the processing team at Carlin has delivered its best sixty days since the formation of the joint venture. The underground mines at Carlin, Turquoise Ridge, and Goldrush have also had their best January since I joined formation in terms of tonnes mined and developed. This performance is exactly what we wanted to achieve from the operational review we highlighted last quarter. The teams have rebuilt their plans from the bottom up based on achievable metrics. The mines implemented this disciplined approach to their operation, enabling delivery of a solid result in Q4 and now in January. It is also clear that we have experienced challenges attracting and retaining talent at NBN. As a result of that, we have looked at many employment conditions as part of the operational review. We will be adjusting the remuneration framework to help attract and retain the best people, and importantly, we will be simplifying the bonus structure at the operational level to focus clearly on safety, our number one focus for the year, and then production, costs, and growth. We also restructured the executive team both at the group level and in North America. We have added a chief technical officer, Megan Tibbles, and an evaluation team. So this brings stronger operational experience into our senior leadership. PV had a better year with plant throughput up 12% and gold production up 8% from 2024. That said, the recoveries are not where we expected them to be. As we said last year, the main issue is the performance of the weathered stockpile. There is metallurgical inconsistency across those 90 million tonnes stockpiles, and we are not getting the same result in the plant that we saw in the lab for the initial feasibility study. We undertook extensive test work in 2025, and this will be reflected in the update of the 43-101 report, which is due out next month. So although the life of mine recovery rate is lower, we have been able to extend the life to 2048, maintaining the total overall output produced. Work on the new TSF is progressing well. And the housing project is well advanced with more than 600 homes constructed and over 300 families now resettled. So just briefly on Foremile, which continues to demonstrate its potential as a world-class gold asset in Nevada. 2025 was a major derisking year. We successfully delivered on our commitment to double four miles resource at a higher grade, and as you can see from this updated model, there is a lot more to come. The next step will be working on the Bullen Hill declines, which will enable efficient resource conversion from underground access. So moving down to South America and Asia Pacific region, which include Veladero and Porgera, this region also performed well against its plan in the quarter and the year. Veladero exceeded the top end of its 2025 guidance and its cost guidance by over $100 an hour. Work is continuing at Balladera to expand the resort. In the same vein, Porgera achieved the top end of its guiding train, keeping costs within guidance. Demonstrating strong operational flexibility. So on Africa, Middle East region, they achieved their production guidance and point out for the seventh consecutive year. And as I have said, we successfully resolved the dispute in Mali during the release of our incarcerated colleague. At Kibali, the ARC discovery delivered significant progress in 2025 and 3.5 million ounces to resources. Including 1 million converted to reserve. Further drilling in 2026 is expected to continue to grow this high potential discovery. North Mara reported a strong finish to 2025 with production in the top half of its 2025 guidance range. And Bull on Hulu overcame grade dilution and dewatering challenges in Q4. Ending the year within guide. So we regained operational control at LuluConcotter at the end of the year, we are ramping up the most accretive areas of the mine. We expect production to steadily increase throughout the year. And lastly, copper. Delamana finished the year on a high with production up 11% over Q3, thanks to higher throughput. Ending the year with a record high annual production. C1 cash costs were up in the quarter due to the higher maintenance and interim power costs, and the super pit expansion is tracking slightly ahead schedule with good progress during the quarter on the mill building which is on the project's critical path. Okay. So let's move over to guidance for 2026. So we expect our gold production to be in the range of 2.9 to 3,250,000 ounces. At 2025 gold production, as I said, was 3,260,000 ounces. But to give you a like-for-like comparison, that's about 3 million ounces if we remove Tongon and Hemlo, which was sold at the end of the year. We expect Lulu and Kuncutta's ramp-up to be the main contributor to the production increase in 2026. Along with slightly higher production from PV. Carlin and Turquoise Ridge production is expected to be marginally lower due to the open pit sequencing and the grade in the mine plan. Across the year, we are expecting gold production to split about 45% in the first half and 55% in the second. Higher production in quarters three and four will come from the ramp-ups of Lulu and Kotter and Goldrush and the timing of the shutdown at NPM. For copper, we are guiding 192,000 to 220,000 tonnes. Which compares to the annual production of 220,000 tonnes in 2025. Production is expected to be highest in quarters two and three and lowest in Q1, mainly driven by grade at the mine. And looking a bit further ahead, we continue to expect production uplift in 2027 and again in 2028. Returning now to reserves and resources. For our 2025 gold price assumption, we used $1,500 per ounce. For reserves and $2,000 per ounce for resources. Both modestly higher than last year. And for copper reserves, we used $3.25 per pound and sorry, for reserves and $4.54 resources. So today, Barrick, we hold one of the largest reserve and resource bases in the industry, and as of year-end, Barrick's attributable proven and probable gold reserves totaled 85 million ounces. On the resource side, attributable measured and indicated gold resources totaled 150 million ounces. With a further 43 million ounces of incurred resource. While there were declines as a result of divestitures, we continue to see strong organic growth across the asset in Nevada and at PV. Turning briefly to copper, attributable proven and probable reserves remained stable at 18 million tonnes. Copper resources increased with measured and indicated resources of 24 million tonnes. And an additional 4 million plus tonnes in the inferred category. Overall, our reserve and resource base continues to support long mine lives and a strong production outlook. So just to wrap up, in 2025, we demonstrated disciplined execution delivering on our operating plan, strengthening our balance sheet, advancing our growth pipeline, and returning record cash to shareholders. Looking ahead, we enter 2026 with momentum, flexibility, and a clear plan forward. So just before we move to questions, I just want to acknowledge Graham and thank him for his leadership and significant contribution he has made to Barrick over the past seven years. Under Graham's stewardship, we strengthened our balance sheet, reinforced capital discipline, and delivered record financial performance and shareholder return. So on behalf of everyone at Barrick, I want to thank him for his commitment and wish him well in his future endeavors. Also, we announced Helen Cai will be joining us as CFO on March 1, and I look forward to working with Helen as we continue to execute our growth strategy and drive long-term value for our shareholders. So thank you, everyone, for your continued interest and support. I will just remind you, I have just about the whole Exco team sitting around the table with me, so we should be able to manage any questions that you have. I will hand it back to the moderator. Thank you.
Operator: Thank you. For the Q&A session, we will use the raise hand feature in Zoom. If you would like to ask a question, click on the raise hand button at the bottom of your screen. Once prompted, please unmute yourself and go ahead. We will now pause for a moment to assemble the queue. Our first question comes from Daniel Major at UBS Securities. Daniel, your line is open. You may unmute and ask your question.
Daniel Major: Hi. Can you hear me okay?
Mark Hill: Yeah. We can hear you, Daniel.
Daniel Major: Great. Thanks. And Graham, good luck in the future. Yeah. So my first question focuses on the IPO potential. And really, I guess it is a question on a strategic level why you believe a partial IPO of MGM and PV would unlock more value than a full separation of those assets from the remainder of the group. I mean, if we look at previous examples in the sector, conglomerate discounts exist due to the complexity of organizations, and this will not dramatically reduce the complexity of Barrick.
Mark Hill: Okay. Thanks, Daniel. I am going to hand it over to Greg. Thanks, Dan.
Graham Shuttleworth: Dan, I think, as you can imagine, the board and the team have gone through a lot of different permutations. And you will recall we spoke about this last year as well when we first mentioned the opportunities that we were examining, and, you know, they have done a lot of analysis and looked at different outcomes, different permutations. And at the end of the day, they feel that this is the best opportunity that is going to drive value uplift for shareholders. You know, we believe that the current portfolio of assets in North America is substantially undervalued within Barrick. And by doing the North American IPO, we will be able to shine a light on that valuation and that light will then translate into a rerate for all Barrick shareholders. So that is the focus, that is the intention, and at the end of the day, that was the view from the board that that was going to drive the most value of all of those options.
Daniel Major: Okay. Thanks. And then maybe a follow-up question then on what would be the intended proceeds from the IPO?
Graham Shuttleworth: Thanks, Dan. Yeah. Using proceeds. Sorry. Again, you know, we are in the middle of that process at the moment. There is a lot of work that is going to have to be done between now and when we go live, and as we indicated, that is likely to be in the fourth quarter. All of that will be determined as part of the preparation work for the IPO.
Daniel Major: Okay. Thanks. Then just maybe another follow-up on this similar topic. Have you had a discussion with Newmont around the clauses in the JV agreement pertaining to changes of ownership of the Nevada JV?
Graham Shuttleworth: Thanks, Dan. Yeah. I think as you can imagine, you know, we are very well aware of all of the legal contracts and documents that we have. And we would always honor and respect those contracts and documents. Yeah, we are comfortable with the progress that we are making, and we will continue to progress down this road.
Daniel Major: Okay. Great. Actually, if I could just get one more in, Graham. Just what is the latest on the record at financing?
Graham Shuttleworth: Thanks, Dan. Yeah. I mean, as you saw in the press release, the board and the management are a little concerned about the security situation on the ground in Balochistan. There has been some escalation in security events there, and as you know, our primary focus on everything we do is the safety and security of our people. And so they have asked us to do a review of that situation, and so, clearly, as part of that review, we have indicated to the lending consortium that we need to complete that before we can close the financing. So we will work through that and then we will take it forward after that.
Daniel Major: Alright. Thanks a lot, and good luck.
Graham Shuttleworth: Thank you.
Operator: Our next question comes from Fahad Tariq at Jefferies. Fahad, your line is open. You may unmute and ask your question.
Fahad Tariq: Great. Thanks for taking my question. Mark, right at the outset, you mentioned that at Nevada, you have done a comprehensive mine plan review from the bottom up. Can you maybe talk a little bit more about how that has changed and has been reflected in the updated guidance? And maybe particularly on Carlin. Thanks.
Mark Hill: Okay. Sure. I will give a bit of an introduction, and then I will hand it actually over to Tim, the new COO. Look, we went back to the teams, and there had been some top-down numbers generated over the last twelve months. And so we just asked the teams to go back and run the mine plans using current productivities that we are actually achieving and then building in, obviously, upside for productivity improvements only if there was an actual plan and a target to get up to those productivity. So it was not just a let's increase things by 10%. Unless there is an actual plan for that continuous improvement, then it was taken out. So it is why I said at the end too that we have a much higher confidence and certainly in January, we are off to a good start, of achieving our guidance. But I will hand it over to Jim if you want to add anything to that.
Jim: Yeah. Thanks, Mark. I think, you know, as Mark said, it is about that in delivery of the plan. So you will see some reductions in some of the mines, like you have probably noticed in Carlin. So we do see some of them having a lower production, but we are much more confident in the delivery of that production. And I think as Mark said and as he highlighted in the outset, that performance at the Carlin roaster having a record throughput in the last sixty days the joint venture was formed. That highlights when you can move to a planned maintenance structure and we can cut out the interruptions and the reactive maintenance overall, we expect to get better results. So I think that is at the core of why we reset these plans and build them on actual past performance.
Fahad Tariq: Okay. Great. And then just on Recodique because you were asked about it in the previous question. Is it fair to assume that all options are on the table up to and including divesting the asset? Thanks.
Mark Hill: Look. I think it is too early to say that. I mean, we had the board meeting yesterday, and they basically asked us to go back and review the project across all areas. So we are in the first stages of that and working out what we are going to look at and what options we are going to look at.
Fahad Tariq: Okay. Great. Thank you.
Mark Hill: Thank you.
Operator: Our next question comes from Lawson Winder at Bank of America. Lawson, your line is open. You may unmute and ask your question. Lawson, your line is open. Please unmute.
Lawson Winder: Thank you very much, operator. And hello, Mark, and hello, Graham. Thank you for today's presentation. If I could ask one follow-up on Barrick North America, is the intention for Barrick America to be domiciled in the United States?
Graham Shuttleworth: Again, there is a lot of work going on on that project, and as it is determined, we will keep you updated.
Lawson Winder: On capital return, the new dividend policy is very clear. And it makes a lot of sense. How might share repurchases factor into capital return going forward?
Graham Shuttleworth: At the moment, Lawson, the board is very clear that they want to focus on dividends. You know, I will say, my experience of engaging with shareholders is that this is an area where everybody has a strong opinion. And I know you are never going to please everyone. Because, yes, some people favor dividends and some favor buybacks, but now the board is very focused on dividends and hence the reason why they have not renewed the buyback approval.
Lawson Winder: Okay. Very clear. On Veladero, how would you describe that asset in terms of the importance to the overall portfolio? And would you go so far as to describe it as non-core? And have you explored the salability of that asset? And then if so, could Pascua Lama potentially be packaged as some sort of sale with Veladero? Thank you.
Mark Hill: So, Lawson, we have not Veladero is not non-core, and in fact, it is one of our top-performing assets in the last twelve months. So we have not looked at divesting it, if that is what you are asking.
Lawson Winder: Okay. Great. Thank you very much, Mark.
Mark Hill: And thanks, Graham.
Operator: Our next question comes from Anita Soni at CIBC World Markets. Your line is open. You may unmute and ask your question.
Anita Soni: Everyone, thanks for taking my question. So first question, Mark, just moving to PV. I just want to understand what the guidance is based on in terms of grades, recoveries, given that you are, as you mentioned, the recovery rates are fairly low. I did see you have, you know, still some of the blending of stockpiles. Is the plan to take out the stockpiles or continue to, you know, forge on with the stockpiles blended in and try to fix the recovery rates with those stockpiles?
Mark Hill: Okay. Well, let me start off the answer, and I will again, I will hand it over to Tim. But it is obviously, the 90% was in the feasibility study. We are not going to achieve that. We are targeting 84, but to get to the 84, we are going to have to do the blending and a few other things. Right? So we are currently sitting, I think, Tim, around 75, 76. And so we will then ramp up over the next years as we get more confidence in how we blend the stockpiles into the fresh material. And when we can actually get up to that 84%. And there are also some projects we have to do as well. But Tim, you want to expand on that?
Tim: Yeah. Thanks, Mark. I think the key is to define the projects. We have Hatch working with us at the site on the key projects that we can look to deliver the improvement from 76 up to 84%. Those stockpiles do make a key portion of the feed over the coming three to five years. So it is important that we do optimize that and get the from that. The technical report, which is coming out at the February, that will obviously have a lot more detail on this. But for the long assumption, we have basically updated the full recovery model to incorporate this latest test work. So we have run that through the life of the mine.
Anita Soni: Is there any reason to lose Sorry. Just to reiterate that the updated 43-101, which will obviously have all of this information, will be available at the February.
Anita Soni: Right. And I guess the question that I had as a follow-up for that part of it was, do you expect to all of the ounces that you reported in the reserve resource statement at year-end? In that 43-101, or will that potentially take some of the ounces out?
Mark Hill: No. No. We expect to maintain Tim. Correct? Yeah.
Anita Soni: Okay. And then my second question was just with respect to the IPO. I know you, you know, you are saying you will have an update at year-end on that or it will be completed by year-end. But could you give us an idea of what portion of the Nevada gold mines and, you know, Fourmile North American assets, what portion of those assets do you intend to IPO? Heard ranges between 10 to 15-30%, but I am not sure what you guys are doing. I think it is fair to say it will be on the lower end of that and be on already pop up. Of those assets.
Anita Soni: So 10 to 15% more along the lines of 10 to 15%?
Mark Hill: Sure. Yes.
Anita Soni: Okay. Thank you. That is it for my questions for now.
Mark Hill: Thank you.
Operator: Our next question comes from Bennett Moore at JPMorgan. Bennett, your line is open. You may unmute and ask your question.
Bennett Moore: Good morning. Can you hear me alright?
Mark Hill: Yes. We can hear you better.
Bennett Moore: Great. Thank you for taking my questions. I wanted to come to Mali. And since gaining control back there, what has the dialogue been with the government, and what are the state of the assets? And is there any incremental investment required there?
Mark Hill: Okay, Bennett. Let me hand it over to Seth if he can give us an update soon.
Seth: Hi, Bennett. The relationship is really at a reset. And the engagement so far has been really positive. We took control of the asset on December 16. It was actually in much better shape than we expected. So we started off feeding low-grade stockpiles, and at this point, we have now started up all three of the underground mines. And we are ramping up the open pit, which we expect to be doing that in the second half of this year. And so the focus is really on getting that ramp-up in a safe manner so that we can achieve our historical run rates by the end of this year. And so if you would have seen in our guidance, that for Rudo Goncotto, this year, we are guiding between 260,290 ounces. Attributable.
Bennett Moore: Thanks for that. And now with the employees no longer detained and the worst seemingly behind, I wanted to get your latest thoughts on a potential asset sale there. If you have seen any interest or dialogue from other parties.
Seth: No. I think at this point, the focus is really on ramping up that mine and restoring the relationship, and everyone is really committed to doing that.
Bennett Moore: Okay. I will get back in the queue. Thank you.
Mark Hill: Thanks, Ben.
Operator: Our next question comes from Carey McGrory at Canaccord Genuity. Carey, your line is open. You may unmute and ask your question.
Carey McGrory: Hi. Good morning, guys. Can you hear me?
Mark Hill: Yeah. We can hear you, Carrie.
Carey McGrory: Yeah. Just going back to the IPO. Just wondering about the timing. I mean, production in Nevada has come down pretty much consistently every year. Looks like it will be lower again this year. So just wondering why now and not when Nevada looks a bit more stabilized.
Mark Hill: Okay. So look, Carrie, this is my view. I spent a lot of time in Nevada over the last four months, as you can imagine. So I think Nevada is stabilized. And I think what we have demonstrated in a very short time, far quicker than I thought, is that we have given control back to the general manager. We have a very strong team in Nevada, like we have had for twenty years. And you have seen the performance in Q4, and January is even stronger again. As I said, I think the best January we have had in five years. So I am completely comfortable they are going to deliver this year every quarter, which you are going to see before we go to this IPO. And I think we are now in a position where we will not disappoint and that production over time will actually grow. And again, Tim, anyone else? Feel free to chime in if you have anything else.
Carey McGrory: Okay. And maybe just on the 2027 outlook, if you can just sort of walk through sort of the big you know, what is moving from 2026 to 2027?
Graham Shuttleworth: Is that sorry, Gary. Is that for the group or at MGM?
Carey McGrory: No. No. Group level.
Graham Shuttleworth: Yeah. So the biggest movers really are continued increase at Blue Lagoon Cotto, and a small increase at Naval and then an increase at PV. So those are the three key areas.
Carey McGrory: Okay. That is me. Thanks, guys, and congrats, Graham, and all the best.
Graham Shuttleworth: Thank you, Carey.
Operator: Our next question comes from Josh Wolf at RBC Capital Markets. Josh, your line is open. You may unmute and ask your question.
Josh Wolf: Yeah. Thanks very much. I noticed the new guidance does not include costs or CapEx indications for the next couple of years. You know, the historical guidance for the company did indicate that there was a cost reduction over time. How should we think about costs going forward after 2026?
Graham Shuttleworth: Yeah. I mean, Josh, obviously, we did not give you guidance. I am not about to give you guidance now. But I think, you know, broadly, I would say flat would probably be a better way of thinking about it.
Josh Wolf: Thank you. And then another question on the IPO. I am wondering how is the company thinking about the management of NewCo and what sort of governance rights will Barrick have with the state given it still will be controlling. And then sort of along those lines, you know, how is the company ensuring that both Barrick shareholders will be aligned with the new co shareholders? Thank you.
Mark Hill: Well, look, Josh, I think it is too early to say. I mean, we are starting a nine-month process, and as I said, we will keep you updated as we move along. I have not got the answers to those questions at the moment.
Josh Wolf: Thank you very much.
Mark Hill: Thanks, Jeff.
Operator: Our next question comes from Martin Pradeer at Veritas. Martin, your line is open. You may unmute and ask your question.
Martin Pradeer: Thank you. My question is if you are going to unpack a little bit the big cost increase from this year, you know, on from the outlook compared to 2025. What are the big drivers? If you can provide some color. For gold and for copper, please.
Graham Shuttleworth: Thanks, Martin. Really, there are sort of three buckets, two of which are the most significant. The first one is the gold price assumption. So I hear you. Can you hear me?
Mark Hill: Yeah. I can hear you. Can you hear me?
Graham Shuttleworth: K. Moderator, can you hear me?
Operator: Yes. We can hear you loud and clear. Martin, we can hear you as well.
Mark Hill: Martin, can you hear us? Looks like we have lost Martin.
Operator: We can move on to the next question. A reminder, if you would like to ask a question, you can click on the raise hand button at the bottom of your screen. Our next question comes from John Tumazos at Very Independent Research. John, your line is open. You may unmute and ask your question.
John Tumazos: Thank you very much. Barrick sold 31 million ounces of gold resource for $2.55 billion or $82 an ounce. Will you sell any more gold? Is it because you do not have enough managers for all of your properties or would you reverse course and buy gold to offset the gold you sold?
Graham Shuttleworth: Think it is not a question of just selling gold for the sake of selling gold. It is really about focusing on a strategy. Our strategy has always been to focus on our tier one high-quality assets. And the dispositions that we have made have been in respect of those assets that did not fit that strategic filter. So we will definitely continue to invest in gold going forward, you know, in line with our strategy. We definitely believe in gold, and the focus of this company going forward is very much around gold. But it is, you know, within the constraints of the strategy.
Mark Hill: You still there, John?
John Tumazos: Thank you.
Operator: As a reminder, if you would like to raise if you would like to ask a question, please click on the raise hand button at the bottom of the screen. This concludes our Q&A session. Back to Cleve for any closing remarks.
Cleve Rickert: Great. Thank you, everyone, for joining us today. Look forward to speaking with you again on our first quarter results call in May. Please get in touch with us if you have any further follow-up questions. Good. Thanks again.
Mark Hill: Thanks, everyone.